Darren Daugherty : Welcome to Loews Corporation first quarter 2009 earnings conference call. A copy of the earnings release may be found on our website Loews.com. On the call this morning are Jim Tisch, the Chief Executive Officer of Loews and Peter Keegan, the Chief Financial Officer of Loews. Before we begin I’d like to make a few brief disclosures concerning forward-looking statements. This conference call will include the use of statements that are forward-looking in nature. Actual results achieved by the company may differ materially from those projections made in any forward-looking statements. Forward-looking statements reflect circumstances at the time they are made and the company expressly disclaims any obligation to update or revise any forward-looking statements. This disclaimer is only a brief summary of the company’s statutory forward-looking statements disclaimer. We urge you to read the full disclaimer which is included in the company’s 10K and 10Q filings with the SEC. I’d also like to remind you that during this call today we may discuss certain non-GAAP financial measures. Please refer to our security filings for reconciliation to the most comparable GAAP measures. After Jim and Peter have discussed our results, we will have a question and answer session. If you would like to ask questions and are listening via the webcast, please use the dial in number to participate, 877-692-2592. I’d now like to turn the call over to Loews’ Chief Executive Officer Jim Tisch.
James S. Tisch : Thank you for joining us on our call today. The Wizard of Oz famously said, “Pay no attention to that man behind the curtain,” and I feel like saying that today with respect to our first quarter earnings. Our subsidiaries are in good shape relative to the current business environment and are doing much better than what’s reflected by the earnings reported today. As you have seen our first quarter results included realized investment losses in CNA’s investment portfolio and a significant non-cash impairment charge at HighMount E&P. While these results are disappointing, we remain confident that each of our subsidiaries can and will deliver solid performance over the long term. In its core property and casualty operation CNA produced another quarter of steady results driven by improving rate trends, better renewal retention and a sub 100% combined ratio. As a sign of CNA’s strength and conservatism, its property and casualty operations have now had nine consecutive quarters of favorable reserve development. CNA’s investment portfolio continued to be affected by the stress in the financial and credit markets with lead to the realized investment losses for the quarter. The company’s end realized loss position includes from year-end ’08 and even after taking in to account the quarter’s realized losses, GAAP shareholders’ equity and book value per common share increased. Statutory capital also remains strong and CNA holds substantial cash and short term assets. The improvement in CNA’s book value can be attributed to three main factors: first, of course is CNA’s operating income; second, the impairments taken in the first quarter were largely attributable to securities that have already been carried at market value on the GAAP and in many instances statutory balance sheets; and third, the market value of corporate end tax exempt fixed income securities generally increased during the quarter. A recovery in the fixed income market continued in the month of April as the market value of CNA’s core security, that is excluding limited partnership investments increased by approximately $550 million through last Thursday. Earlier today, on CNA’s earnings conference call, Tom Motamed laid out the company’s strategic initiatives that have been developed during his first four months on the job. CNA is now moving forward with these strategies to drive top line and bottom line growth and to optimize its property and casualty portfolio. We are very confident in Tom’s ability to guide CNA and to achieve these goals. The non-cash impairment charge taken by HighMount E&P relates to the ceiling test that is performed each quarter on all E&P companies using full cost accounting. The ceiling test calculates the value of HighMount’s 20 years of reserves at a single point in time using the spot price of natural gas. Given the low price of natural gas at the end of the quarter, HighMount was required to book this impairment charge. Our view however continues to be that natural gas is a good investment over the long term. We choose to buy long live reserves precisely because we cannot accurately predict the short term movement of natural gas prices. At today’s energy prices with spot natural gas at about $3.60 per MCF it doesn’t make sense to drill or turn on new wells and therefore HighMount has substantially reduced its drilling program. While being mindful of its cash flow for the time being, HighMount will again ramp up its drilling program when natural gas prices recover and drilling once again becomes economic. Revenues this year at HighMount are partially protected due to hedges that were put in place during the past 18 months. Pete Keegan will say more on that in just a few moments. Boardwalk Pipeline reached a significant milestone during the quarter by placing in to service all of its remaining expansion projects. During the commissioning process, Boardwalk discovered some anomalies in a small percentage of pipe drilling and therefore reduced operating pressures and throughput on all of its expansion pipelines. This in turn resulted in decreased first quarter revenues for Boardwalk. It is anticipated that Boardwalk will have additional revenue losses on these pipelines as major sections will need to be temporarily shut down in order to allow for removal and replacement of the affected pipe. Until these pipe anomalies are remediated and the company receives the approval from its regulatory agency [FEMSA] to increase operating pressures, Boardwalk expects reduced revenues from its expansion projects. Boardwalk is still developing its remediation plan so the final cost to repair the pipe anomalies is not certain. Currently however, Boardwalk estimates that the remaining dollars within the $4.8 billion project cost estimates established over a year ago will be adequate to cover the cost associated with fixing pipe anomalies. Boardwalk does not anticipate a need to increase the overall expansion project budget. Despite these challenging start up issues, Boardwalk’s expansion projects along with the performance of its legacy assets are generating solid cash flow and have allowed the company to announce a cash distribution of $0.485 per limited partner unit, its 13th consecutive increase. For the first quarter Diamond Offshore reported strong earnings which were in fact its second highest on record. Average day rates were up year-over-year across all rate categories. However, the utilization rate for its floater fleet declined primarily because of down time associated with scheduled ship yard projects and mandatory surveys. Utilization rates were also down for Diamond’s jack up fleet owing mainly to weakening demand in the US Gulf of Mexico. Diamond’s board of directors recently declared a special quarterly dividend of $1.875 per share in addition to the regular quarter dividend of $0.125 per share. Together these dividends represent a quarterly cash payment for Loews of approximately $140 million. So, as you can see the decline in natural gas prices and the stress in the financial and credit markets combined to impact negatively our first quarter earnings. Nonetheless, we continue to like the prospects for each of our subsidiaries. With that, I’ll turn our call over to Peter Keegan, our Chief Financial Officer.
Peter W. Keegan : Loews reported a consolidated net loss of $647 million in the first quarter of 2009 versus net income of $662 million in the prior year first quarter. The loss for the quarter primarily resulted from HighMount E&P’s $660 million non-cash after tax impairment charge and CNA’s realized net investment losses which totaled $310 million after tax and non-controlling interest. Realized investment losses at CNA include the impact of other than temporary impairments of $359 million after tax and non-controlling interest largely due to impairments of some asset backed construction products, some below investment grade corporate securities and our holdings in Bank of America Merrill Lynch non-redeemable preferred stock. The recognition of these impairments and realized losses had only a minor impact on CNA’s capital adequacy because for the most part these securities were already held at market prices on CNA’s balance sheet. While underlying operational performance was solid, CNA’s contribution to Loews’ net income before investment losses decreased to $140 million for the quarter from $200 million in the prior year first quarter. The decline was primarily due to decreased investment income driven by CNA’s larger current cash position coupled with lower short term interest rates as well as losses from limited partnerships.  Property and casualty operations delivered a first quarter combined ratio of 98.2% compared to 98.1% in the first quarter of 2008. Favorable reserve development improved the first quarter combined ration by 3.7 points in 2009 versus 1.3 points in 2008. Diamond Offshore had a strong quarter with its contribution to net income increasing to $163 million from $136 million in the first quarter 2008. Diamond’s revenue backlog currently stands at approximately $9.6 billion. HighMount reported a net loss for the first quarter of $641 million versus net income of $47 million in the prior year first quarter. In addition to the non-cash impairment related to the carrying value of natural gas reserves HighMount’s operating expenses included a $9 million pre-tax impairment on its tubular goods inventory and a $23 million one-time pre-tax expense to terminate a contract with a drilling rig contractor. Between yearend 2008 when the previous ceiling test was performed and the end of the first quarter, natural gas prices declined from $5.71 per MCF to $3.63. During the quarter HighMount completed 82 gas wells for an aggregate drilling cost of $69 million. HighMount reported natural gas production of 19.7 billion cubic feet at an average realized prices of $7.68 per thousand cubic feet. Natural gas liquids production of 921,000 barrels at an average realized price of $31.08 per barrel and oil production of 103,000 barrels at an average price of $39.07 per barrel. Revenue for the quarter was $175 million. As of March 31st, HighMount had hedges in place for 44% of its estimated total production for the remainder of 2009. Boardwalk Pipeline’s contribution to net income for the quarter was $22 million versus $39 million in the prior year first quarter. Operating revenue benefited from a $28 million increase in gas transportation revenues primarily from completion of the expansion projects. However Boardwalk estimates that the revenues were approximately $12 million lower than expected as a result of decreased operating pressures in the expansion pipelines. As compared to the prior year first quarter, Boardwalk’s operating expenses increased by $41 million. Although expansion revenues were lower than anticipated due to the pipe anomaly issues starting in the first quarter, significant expenses associated with expansions such as depreciation, property taxes and interest expense are now being recognized. Also affecting the year-over-year comparison is a one-time benefit of $11 million on a contract settlement gain reported in the first quarter of the prior year. In the first quarter Loews Hotels reported a net loss of $18 million which reflects the difficult operating environment and a $16 million after tax non-cash impairment charge related to Loews Hotels minority interest in a joint venture of the carrying value of a hotel property. In the first quarter of 2009 revenue per available room declined 26% to $137.56 versus $185.54 in the prior year first quarter. Occupancy declined to 62.3% from 70.8% for the same period. Hotel bookings for 2009 remain significantly below levels seen in recent years and Loews Hotels expects it RevPAR and operating results to be significantly below prior period results in the near term. Holding company cash and investments as of March 31, 2009 totaled $2.5 billion. During the first quarter we received $235 million of dividends from our subsidiaries and we paid $27 million of dividends to our shareholders and now I’ll turn the call back over to Darren.
James S. Tisch : Operator, at this time we’ll open it up for questions.
Operator: (Operator Instructions) Your first question comes from Robert Glasspiegel – Langen McAlenney.
Robert Glasspiegel – Langen McAlenney: In just thinking about the second quarter cash trends you committed potentially up to $500 million to Boardwalk and you have $100 million from Diamond, is there two key items to consider?
James S. Tisch : We said back six months or so ago that we would put in up to $1 billion in to Boardwalk and we’ve reported that we’ve so far put in $500 million so that leaves $500 million. That’s cash going out. Diamond is cash coming in and that was dividends received of $140 million and we also received $63 million of dividends from Boardwalk and $31 million of dividends from CNA on the preferred shares that we own.
Robert Glasspiegel – Langen McAlenney: Okay so the Diamond special has already been received in Q1?
James S. Tisch : Yes, that’s right but Diamond also declared another $2 dividend when they reported their first quarter earnings and that will be received in the second quarter.
Robert Glasspiegel – Langen McAlenney: What should we think in terms of we’ve had sort of an active parent capital management program where parent cash and parent cash flow have sort of been used to protect Boardwalk and CNA investments. How many quarters are we away from thinking that you could actually use the money for other purposes?
James S. Tisch : I think the problem is visibility on the economic front. Right now it is very, very difficult to see what’s going to happen in our economy and to go back to the Wizard of Oz metaphor, our crystal ball is totally crowded still and we want to make sure that we have the cash and the financial resources so that we do not have to rely on the financial markets for anything and that if we are able to access the financial markets, that’s a bonus. Economically, it seems like the economy is improving. My guess is that the money from the stimulus package that was passed in the first quarter is starting to have an effect but I have no idea whether that is ultimately going to be successful or not. I have no idea whether we’re going to have positive or negative growth in the second half of this year or in 2010. So, our view has been and continues to be that we want to be very, very cautious with the use of our cash to make sure that Loews is in AAA shape and so are our subsidiaries.
Robert Glasspiegel – Langen McAlenney: It seems like the first four months of data points are supportive of your yearend and Q3 commentary that you had a lot of confidence that your corporate investment and structured investments was going to pay off and these securities were going to mature close to par. So, we’ve had four months of pretty good data points, yet I didn’t sense the structure of your comments were any more positive than they were a quarter ago. So, you think there is still some uncertainty?
James S. Tisch : Yes because I’m not willing to put out the all clear signal after one quarter of performance especially when the stimulus money and the trillions of dollars that the fed is putting in to the economy may be affecting or distorting the numbers.
Operator: Your next question comes from David Adelman – Morgan Stanley.
David Adelman – Morgan Stanley: A couple of things I wanted to ask, first did the charge at HighMount trigger an assessment of goodwill during the quarter?
Peter W. Keegan : Yes, it did but we didn’t fail the first step so we didn’t have any additional goodwill impairment.
David Adelman – Morgan Stanley: Secondly, on Boardwalk is there a broader issue there from an execution and oversight perspective? You have the cost overruns, now there are some anomalies. Can you comment on that issue?
James S. Tisch : This is the first time that this tool has been used I think industry wide for this type of pipe. Had this tool not been used then the Boardwalk pipe after that one joint was replaced would have been put in service and everything would have been hunky dory. But, alas we found these anomalies in the pipe. The question is, is this an industry problem or not and the answer is we don’t know. Right now, as I said, we believe that we have the only pipeline that has actually used this tool. But, it is possible that other pipeline companies will have to use this tool and it will be interesting to see what they turn up from their own use of the tool.
David Adelman – Morgan Stanley: Is there a risk Jim that because of this delay on being able to use the pipelines that intended throughput that Boardwalk might not be able to fulfill its obligation on any of its existing contractual commitments?
James S. Tisch : No, the Boardwalk management has talked to the customers and they understand exactly what is going on. They’ve been kept fully informed and unfortunately, there’s nothing that we can do. We have to get the regulatory approval before we can operate the pipes at full pressure.
David Adelman – Morgan Stanley: On the dividend on the CNA preferred investment, am I right that that does not flow through your P&L of Loews.
Peter W. Keegan : It’s not income it’s cash.
David Adelman – Morgan Stanley: Then lastly, on the hotel side, are you willing to disclose which particular property triggered the write off, what the circumstances were that led to it and then I have a follow up question.
James S. Tisch : It is our investment in Loews Las Vegas and as you know the entire Las Vegas market, particularly the gaming and entertainment and hotel market is in a severely distressed situation.
David Adelman – Morgan Stanley: The last question on hotels, out of curiosity, in a more normal RevPAR environment would the economic model of your hotel business be significantly improved in terms of leveraging the fixed cost and the infrastructure and the reservation systems and so forth, if you had three or four more properties is there sort of a magic threshold on the margin where in a more normal RevPAR environment you’d see significant improved overall economics or is that really not the case?
James S. Tisch : No, that’s generally the case. I don’t know that it would make an enormous difference in our income statement for the hotel company but it would spread the central cost over a greater number of hotels.
Operator: Your next question comes from Andy Baker – Jefferies & Company.
Andy Baker – Jefferies & Company: Jim, I wanted to ask you your thoughts on how the supply and demand dynamics are playing out in the natural gas market? I know in the past you talked about as obviously supply dwindles and demand stays where it is or moves a little here or there we’re going to move to the point where price has to move back up. So, where do you think we are on that? How long do you think that takes to be at a more normalized level?
James S. Tisch : I would tell you it looks like the spot natural gas market is starting to anticipate a change in the supply and demand but so far we haven’t seen it in any of the statistics. When we look at what’s happened is that gas prices peaked in July at about $14.50 an MCF, it’s now about $3.60 and drilling rigs, gas drilling rigs peaked in September at just over 1,600 units and we’re now down to about 720 units. The third important data point is that depletion in the United States is about 30% a year. That means that we are currently producing about 56 billion cubic feet a day of dry gas. If we don’t drill any wells for the next year, you would expect US production to be down to about 38 billion cubic feet. So, you can see that depletion is very important and drilling activity is very important. With that as background, right now notwithstanding the decline in drilling rigs in use, we have not seen a decline yet in production and my guess is that will come pretty soon and could be on the order of somewhere between 500,000 cubic feet a day and a billion cubic feet a day decline per month. The other thing that is happening is that there are declines in consumption primarily industrial consumption for natural gas and so we’re in a situation where because with declines in consumption and the steady production and also ending the heating season with relatively high inventories that right now we have very high inventories of natural gas. That should all play itself out over the next one to two quarters and I would imagine that within six months we should see a change in the supply demand dynamic. But, before you go out and buy natural gas futures, let me just caution that the market is already anticipating that because the price of gas a year from now is about 60% higher than the spot price of gas today.
Operator: Your next question comes from [Steven McSorley – Instaned].
[Steven McSorley – Instaned]: To continue with the HighMount theme here, I’m just trying to understand the dynamic of how these ceiling tests work going forward. Jim or Peter, is it possible if we do see a recovery in natural gas prices that there would be wells that historically had been considered within the proved reserves because it wouldn’t be profitable at a price say of $4 or $4.50 per MCF that then would be considered in the active proofed reserves if indeed we saw a recovery with the write downs?
James S. Tisch : Let me put on Dennis Millet who is the CFO of HighMount to answer your question.
Dennis G. Millet : Yes, we did have some of the reserves that actually moved from proven to probably so as the price moves up they would move back in to the proven category.
[Steven McSorley – Instaned]: Then to follow on that, as you have these reserves being produced with a lower depletion expense, margins should actually be higher again with all wells held equal as prices or if prices recover, correct?
Dennis G. Millet :
Dennis G. Millet :
James S. Tisch :
Dennis G. Millet :
Dennis G. Millet :
Dennis G. Millet :
Dennis G. Millet :
James S. Tisch : So a $0.60 decline.
[Steven McSorley – Instaned]: Now, you’ve curtailed the drilling activity that you’ve had underway so you’re not drilling any new wells in this market. Is it correct to assume that the wells that you have active, you’re not capping anything, you’re not ceasing production at any active wells?
James S. Tisch : First of all, we haven’t curtailed all drilling, we are still doing some modest drilling in Michigan and also in Alabama. But, we’ve ceased drilling in our largest area which is Sonora. Now, we have not shut in production and it’s not from not wanting to rather we’ve determined that the damage to the wells by shutting in production is just too great and so it’s not economic to shut those wells in.
Operator: Your next question comes from Ross Haberman – Haberman Fund.
Ross Haberman – Haberman Fund: A quick question for Peter, Peter the $2.5 billion of cash, did that include the CNA preferred stock?
Peter W. Keegan : No, it does not.
Ross Haberman – Haberman Fund: So that would be in addition to?
Peter W. Keegan : That would be in addition to the $2.5.
Ross Haberman – Haberman Fund: Refresh me was there any debt at the corporate level at the end of the quarter?
Peter W. Keegan : Long term debt was about $865 million in long term debt.
Ross Haberman – Haberman Fund: One question, a final one going back to the hotels, Jim do you think you’re ready or looking around more actively today than a quarter or two ago to add to that portfolio over the next couple of quarters?
James S. Tisch : Yes, we would like to if we can find the right properties at attractive prices. My anticipation is that will occur. But, to date we haven’t seen much evidence of it.
Ross Haberman – Haberman Fund: In that sector are you seeing any real force sellers or distressed sales yet?
James S. Tisch : Not yet.
Operator: Your next question comes from Chuck Goldblum – Hurley Capital.
Chuck Goldblum – Hurley Capital: Just another follow up on Boardwalk if possible, it seems that you’ll have to or perhaps make some significant repairs in the system. Although it’s a small portion you’ll have to be shut down for a fair amount of time. Can you sort of size the revenue risk at Boardwalk for the next quarter or two?
James S. Tisch : No, we really don’t know it and we’re just putting that together right now. I think Pete said that there’s $12 million a month of loss revenue. $12 million for the quarter of loss revenue due to the lower pressures that we’re operating at. Now, when the repairs are actually put in place there will be times when the pipeline has to be shutdown so those are additional loss revenues that we will have to deal with.
Chuck Goldblum – Hurley Capital: When you’re looking at the capital construct for Boardwalk are you contemplating what sort of additional capital you might need to cover any additional perhaps larger revenue shortfalls in the second or third quarters as you might have to shutdown pipelines completely for a period of time?
James S. Tisch : I think the company has a capital plan and they’re very comfortable with that.
Chuck Goldblum – Hurley Capital: There’s no capital increase contemplated as a result of the changes here?
James S. Tisch : No, and like we said we anticipate that the cost to do these repairs will still be less than the $4.8 billion total capital cost for the project.
Operator: Your next question comes from Michael Millman – Millman Research Associates.
Michael Millman – Millman Research Associates: Regarding the cash, can you size potentially how much you could need if I guess the recession continues or even gets worse for a while or conversely is there any amount of this $2.5 billion that you feel is excess for your subsidiary needs?
James S. Tisch : We made the point that we would put up to $1 billion in to Boardwalk and $500 of that has been already spent or announced and our anticipation is that beyond that our subsidiaries won’t need any financial resources directly from Loews.
Michael Millman – Millman Research Associates: So just to [inaudible] there’s potentially $2 billion that you feel comfortable that you could spend on other investments today?
James S. Tisch : No, what I said is we don’t anticipate that that $2 billion will be required by our subsidiaries.
Michael Millman – Millman Research Associates: And why wouldn’t you feel comfortable given the right opportunity in utilizing it then?
James S. Tisch : Because feeling comfortable that it won’t be needed by our subsidiaries is different than being damn sure that it won’t be needed by our subsidiaries. The goal here is to make sure that we always have enough financial resources in order to take care of our own family before we look to go out and adopt another baby.
Michael Millman – Millman Research Associates: Regarding Boardwalk with these anomalies, are these anomalies, these ¼ inch variations only showing up in the new pipe or are they showing up in existing? And, is it possible that you might have to or someone might have to replace a lot of pipe?
James S. Tisch : From what I heard the people at Boardwalk are not concerned that old pipe will have to be replaced. In the past four or five years pipe that has been used generally by the industry for these types of projects has been very strong high temp powered pipe that is called X70. The legacy system of Boardwalk does not use that X70 pipe.
Michael Millman – Millman Research Associates: It uses something better or worse?
James S. Tisch : Different.
Michael Millman – Millman Research Associates: On CNA, where are we on the cycle? What are you seeing in pricing on new insurance? Has it continued to decline?
James S. Tisch : We are seeing pricing declining at a less rapid rate. So, the second derivative is positive. We are hopeful that over time we’ll actually see price improvement. What’s happened is typically in a cycle capital gets depleted by losses and natural disasters. That hasn’t occurred this time but what has occurred is that capital has been severely depleted as a result of the financial markets. As you know there are some insurers who are in some degree of financial stress and we are hopeful that with all that stress going around, that the industry will be able to get some price increases and that CNA will be able to number one, increase its market share and also get those price increases as well.
Operator: At this time there are no further questions. At this time I would like to turn the call back to Mr. Daugherty for closing remarks.
Darren Daugherty: Thank you for joining us on the call today. A replay and a downloadable MP3 file will be available on our website Loews.com in approximately two hours. That concludes today’s call.
Operator: This concludes today’s Loews first quarter 2009 earnings release conference call. You may now disconnect.